Operator: Good day and welcome to the ALLETE third quarter 2020 financial results call. Today's call is being recorded. Certain statements contained in this conference call that are not descriptions of historical facts are forward-looking statements, such as terms defined in the Private Securities Litigation Reform Act of 1995. Because such statements can include risks and uncertainties, actual results may differ materially from those expressed or implied by such forward-looking statements. Factors that could cause results to differ materially from those expressed or implied by such forward-looking statements include, but are not limited to, those discussed in filings made by the company with the Securities and Exchange Commission. Many of the factors that will determine the company's future results are beyond the ability of management to control or predict. Listeners should not place undue reliance on forward-looking statements, which reflect management's views only as the date hereof. The company undertakes no obligation to revise or update any forward-looking statements or to make any other forward-looking statements, whether as a result of new information, future events or otherwise. At this time, I would like to turn the call over to Bethany Owen, President and CEO.
Bethany Owen: Good morning everyone and thanks for joining us today. With me are ALLETE's Senior Vice President and Chief Financial Officer, Bob Adams and Vice President, Controller and Chief Accounting Officer, Steve Morris. Also with us this morning is Frank Frederickson, Minnesota Power's Vice President of Customer Experience. Corresponding slides for this morning's call can be found on our website at allete.com in the Investors section. To follow along, we will call out each slide number as we go through today's presentation. This morning, ALLETE reported third quarter 2020 earnings of $0.78 per share on net income of $40.7 million. Last year's results were $0.60 per share on net income of $31.2 million. These results for the quarter support our previous earnings guidance range of $3.25 to $3.45 per share, excluding the $0.16 per share charge related to the Minnesota Power rate case resolution. Before getting to the details of the third quarter financial results and our positioning as we near the end of 2020, I would like to share some thoughts on the macro business environment on the horizon, along with a brief update on our Clean Energy progress. If you would please refer to slide two. After almost a full year of managing all aspects of the COVID-19 pandemic within the ALLETE family of businesses, we remain steadfast in our commitment to health and safety. To-date, our operations have been largely unaffected as the actions we took early on have helped support the health of our employees and the safety and reliability of our operations. I am so grateful to all of my amazing coworkers who have continued to serve our customers with excellence in this challenging time, all while living our shared values of integrity and safety and everything we do. In our second quarter conference call, we contemplated the potential of a second wave of the COVID-19 pandemic. This risk appears now to be a reality as COVID cases have spiked dramatically, both at home and abroad. We celebrate this morning's very positive news regarding a promising vaccine. However, the depth and duration of this pandemic remain unpredictable. So we will continue to prioritize all that we are doing throughout our organization in order to mitigate these ongoing challenges, as we have done successfully thus far. We will be thoughtful, measured and balanced as we continue to execute our Clean Energy strategy and position ALLETE for the future. We are acting decisively while balancing the interests of our many stakeholders in this time of ongoing COVID-related disruption and we will continue to be forthright and to tell it like it is. What companies do during trying times like these will either build trust or erode trust and we at ALLETE intend to build on our strong foundation of integrity, our extensive track record of success and our long-standing reputation as the company trusted by our many stakeholders. As you know, we have a long term five-year objective of achieving consolidated average annual earnings per share growth of 5% to 7%. This includes a regulated operations growth objective of 4% to 5% and an ALLETE Clean Energy and corporate and other businesses growth objective of at least 15% over the long term. We at ALLETE are committed to these growth objectives. While the company's long term growth objectives remain unchanged, our October 2020 five-year projections indicate achieving these objectives is expected to be challenging. Our October 2020 projections of ALLETE's long term consolidated average annual EPS growth rate using 2019 as a base year is approximately 4% with a regulated operations growth projection of approximately 3% and an ALLETE Clean Energy and corporate and other businesses growth projection of approximately 30%. Our earnings through September 30, 2020 have been negatively affected by COVID-19 and we expect our earnings to continue to be impacted for at least the remainder of 2020. The pandemic has materially affected Minnesota Power's industrial customers and as a result, our sales to these customers. Earlier this year, U.S. Steel Corporation idled its Keewatin Taconite facility and Verso Corporation idled its paper mill in Duluth, Minnesota. We were so pleased when late last week U.S. Steel announced that Keetac would resume production in mid-December but we expect Verso to remain idled to the rest of 2020 and potentially part, if not all, of 2021. In addition, many of our commercial, municipal and other smaller industrial customers have been operating at reduced levels or were temporarily closed or idled during 2020 and we expect at least some of these customers to be similarly affected into 2021. We will continue to support and work closely with all of our customers as we navigate the challenges ahead together. I would like to turn for a moment to our ESG and sustainability reporting strategy. Sustainability is the foundation of ALLETE's strategy and we have made great progress in furthering sustainability in all of its dimensions and leading the transformation to cleaner energy in our region. We have also made great progress identifying the best frameworks and guidelines for sharing our sustainability journey with all of our stakeholders. ALLETE's sustainability team recently developed a path for our company to begin aligning our future sustainability reports with SASB and TCFD guidelines and standards. We expect this alignment in our reporting to begin in the first half of 2021 and continue into the future as expectations, guidelines and frameworks for this reporting mature and evolve. We are confident in ALLETE's future and in our continuing leadership role in the Clean Energy economy and we will continue to work closely with all of our customers as they navigate the ongoing pandemic and economic recession. In the meantime, we will also continue to be as transparent as possible regarding our action plans, communicating and engaging with our employees, our customers, our regulators, our investors and all other stakeholders. Now I will turn it over to Steve and Bob for further details on financial results, 2020 guidance and our growth outlook. Steve?
Steve Morris: Thanks Bethany and good morning everyone. I would like to remind you that we filed our 10-Q this morning and encourage you to refer to it for more details. Please refer to slides three and four for details regarding earnings per share on a quarterly and year-over-year basis for items impacting results. Today, ALLETE reported third quarter 2020 earnings of $0.78 per share on net income of $40.7 million. Last year's results were $0.60 per share on net income of $31.2 million. Results in the third quarter of 2020 include items that affect quarter-over-quarter comparisons, such as the change in fuel adjustment clause recovery methodology implemented in 2020 and timing of income tax expense which varies quarter-to-quarter based on an estimated annual effective tax rate. The timing differences had a positive impact of approximately $0.10 per share for the third quarter of this year as compared to last year's third quarter. With regulated operations, results positively affected by $0.15 per share and corporate and other results negatively affected by $0.05 per share. Our year-to-date earnings have been negatively affected by the ongoing COVID-19 pandemic and related disruptions and we expect earnings to continue to be impacted for at least the remainder of 2020. Overall, we estimate that the COVID-19 pandemic negatively affected earnings by approximately $0.05 per share year-to-date and we anticipate our full year results in 2020 to be negatively affected by approximately $0.15 per share, as our fourth quarter results expect the Keetac facility to restart in December 2020 and Verso Corporation's paper mill in Duluth, Minnesota to be idled the rest of the year. We also expect lower sales to our commercial, other industrial and municipal customers for the remainder of the year. Please keep in mind that these expectations are reflected in our 2020 earnings guidance, which Bob will discuss in a moment. A few details on Minnesota Power's deferred accounting filing and rate case timing. In response to lower sales in 2020 due to the COVID-19 pandemic and in anticipation of potentially lower sales in 2021, Minnesota Power submitted a petition last week to the Minnesota Public Utilities Commission requesting authority to track and record as a regulatory asset lost large industrial customer revenue resulting from the idling of the Keetac facility and Verso Corporation's paper mill in Duluth, Minnesota. The Keetac facility and Verso's paper mill represents revenue of approximately $30 million annually, net of associated expenses such as fuel costs. Minnesota Power proposed in this petition to defer any lost revenues relating to the idling of the Keetac facility and the Verso paper mill to its next general rate case or other proceeding with the Commission for review for recovery. Minnesota Power anticipates filing a general rate case in November 2021 with a 2022 test year. A few details from our business segments. ALLETE's regulated operations segment, which includes Minnesota Power, Superior Water, Light and Power and the company's investment in the American Transmission Company recorded net income of $42.4 million in the third quarter of 2020, compared to $32.4 million in the third quarter of 2019. Earnings reflect higher net income at Minnesota Power primarily due to higher rates implemented as part of our recent rate case and quarter-over-quarter timing impacts related to income tax expense and fuel adjustment clause recoveries. The quarter reflected lower kilowatt-hour sales to commercial and industrial customers due to the COVID-19 pandemic, which was partially offset by increased residential sales. The quarter also reflected lower revenue from other power suppliers due to the expiration of a contract in the second quarter of 2020. Timing differences previously mentioned benefited at our regulated operations segment by approximately $8 million in the current quarter as compared to last year. ALLETE Clean Energy recorded third quarter 2020 net income of $1.1 million compared to a net loss of $1.2 million in 2019. Net income in 2020 reflects additional production tax credits, higher kilowatt-hour sales due to higher wind resources compared to 2019 and earnings from the new Glen Ullin and South Peak wind energy facilities. Corporate and other, which includes BNI Energy and ALLETE Properties, recorded lower earnings of $2.8 million as compared to 2019, primarily due to lower earnings on cash and short-term investments and quarter-over-quarter timing impacts related to the recording of income tax expense which varies quarter-to-quarter based on an estimated annual effective tax rate, as previously mentioned. I will now turn it over to Bob to discuss details on our 2020 guidance and outlook. Bob?
Bob Adams: Thanks Steve and good morning everyone. What a journey, indeed, as we move towards the end of 2020. A multitude of the instructors to navigate through, ALLETE has been decisively planning, executing and repositioning, throughout the year, both operationally and financially. Despite these macro challenges, I am pleased to provide an update of large 2020 renewable energy projects Nobles 2 and Diamond Spring with over $600 million of investment representing approximately 550 megawatts of carbon free wind generation. The Nobles 2 project, which supports Minnesota Power's EnergyForward initiative, is on track for completion by the end of this year with almost all of the 74 turbines now completed and commissioned. Tax equity is on track for closing by year-end. As you know, an ALLETE subsidiary is partnering with Tenaska and will have an investment in this 250 megawatts wind facility located in Southwestern Minnesota. This facility will provide carbon free wind generation to Minnesota Power under a long-term power sales agreement and will contribute to ALLETE's at the start of 2021. The construction of ALLETE Clean Energy's largest project to date, the Diamond Spring wind farm located in Oklahoma, was just completed last week, with all 101 turbines commissioned. This 300 megawatts wind generation project with a total cost of approximately $450 million is expected to be operational before the end of this year and we expect incremental earnings from the project to commence at the beginning of 2021. ALLETE Clean Energy continues to advance on the newest wind project, the 300 megawatts Caddo facility, which is also located in Oklahoma. The full development of this wind project would be similar in size and scale to Diamond Spring. Despite the challenges COVID-19 has created for the broader economy, corporate customers are focusing on their sustainability commitments and ALLETE Clean Energy will continue to optimize its PTC safe harbor turbines as we forward while exploring other ways to meet this growing demand. As you know, our non-regulated growth through ALLETE Clean Energy has increased at a much faster pace than originally expected as a result of the successful execution of the PTC qualified wind turbines strategy and our hard earned reputation as a premier developer and operator in the U.S. In fact, as many of you know, ALLETE now ranks near the top as one of the largest investors in renewables as a relative percentage of its total market capitalization. Related to the elevated piece of investment capital flowing broadly into the wind projects across the country, our ALLETE Clean Energy business is beginning to experience return pressures from increased competition and lower forward price curves as a growing amount of investment capital is being directed into wind generation opportunities. In addition, current and potential new project developments are negatively affected by our currently lower ALLETE stock price which may result in such projects not being as accretive or otherwise unable to satisfy our financial objectives criteria to proceed. We believe that the renewable industry continues to have tremendous potential driven by societal demands to address climate change and we are actively evaluating additional growth opportunities with better risk adjusted returns on capital than currently available wind projects for ALLETE Clean Energy such as solar, storage solutions and grid resiliency. We believe that the renewable energy industry is entering a new phase of growth and ALLETE Clean Energy will serve as a strong platform for future growth at ALLETE. ALLETE Clean Energy will continue to optimize its existing wind facility portfolio, seek development of its remaining safe harbor production tax credit qualified turbines and explore other renewable energy opportunities to expand its service offerings to further enhance its growth and profitability. We are already deep in the process of evaluating these opportunities, which would extend and diversify our growth in the renewable energy space beyond wind development projects. We anticipate sharing more with you in 2021 as there remains a lot to play out with likely changes in renewable policy, including new investment incentives and related tax implications that will influence our strategic migration in this dynamic energy space. On to our earnings guidance for 2020. Because of our actions early on in the COVID-19 pandemic and large power nominations we received for the first eight months, our businesses generally performed as expected in the third quarter and year-to-date, reflecting COVID-19 impacts already discussed. I will provide an update on 2020 guidance and outlook in a moment. But first, I would like to share some details of ALLETE's finances and liquidity position. Please refer to slide five. Our finances remain well-positioned with a strong balance sheet and sufficient liquidity, bolstered by decisive financing actions taken already this year. As of September 30, we had significant liquidity with cash, credit facilities and other outstanding lending available. Regarding the tax equity financing for our renewable projects, we are currently finalizing approximately $350 million in tax equity arrangements for investments in Nobles 2 and ALLETE Clean Energy's Diamond Spring wind project, which we will receive and use to retire construction financing before the end of the year. I would now refer you to slide six regarding our 2020 guidance update. We continue to expect ALLETE's 2020 annual adjusted earnings guidance, non-GAAP to be in the range of $3.25 to $3.45 per share, excluding $0.16 per share charge related to Minnesota Power's rate case resolution, net of tax. This guidance reflects lower kilowatt-hour sales to Keetac and Verso Corporation operations that remain idled, as well as other lower demand from other customers, partially offset by lower operating and maintenance expense. As Bethany mentioned, U.S. Corporation has indicated a restart to Keetac and while this is great news, any impact on 2020 is expected to be immaterial at this time. From a capital expenditures standpoint, we will continue to monitor the economic trends impacted by COVID-19 and are evaluating possible deferrals but expect any actions on this front to be immaterial at this time. I will now hand it back to Bethany. Bethany?
Bethany Owen: Thank you, Steve and Bob. Bob updated you on plan for ALLETE Clean Energy as part of our evolving sustainability strategy and I would like to share some additional insights regarding Minnesota Power's continuing transformation to cleaner energy. Minnesota Power will achieve a remarkable milestone at the end of this year, when we begin delivering 50% renewable energy to customers and we have no intention of stopping there. We are committed to a sustainable future of reliable, cost competitive and increasingly lower carbon energy. Minnesota Power's integrated resource plan is scheduled to be submitted to the Minnesota Public Utilities Commission in February. In that filing, we will include plans for transmission and distribution resiliency and additional renewable energy and infrastructure opportunities. We will also provide scenarios for the thoughtful transition of Boswell Units 3 and 4, as well as the securitization plan. This IRP is the next step in the evolution of Minnesota Power's EnergyForward strategy that will significantly reduce carbon, benefiting customers, communities and the environment while keeping rates competitive and generating potential earnings growth over the long term. Throughout 2020, we have engaged a broad range of stakeholders regarding the development of this resource plan, from customers to communities to regulators to employees and many others. We anticipate a robust engagement in this process, which will most likely occur throughout 2021 and we will update you on this and other ESG related initiatives throughout the year. As we look to the future, we believe energy companies can and must play a leadership role in the recovery of our economy. We at ALLETE intend to build on our reputation as a trusted business partner and regional leader to support the recovery of our customers and our communities. Our commitment to all of our stakeholders and to sustainability in all its forms has never been stronger or more important than it is today. Thank you for your interest and your investment in ALLETE. At this time, I will ask the operator to open the line for your questions.
Operator: [Operator Instructions]. Our first question comes from Chris Ellinghaus with Siebert Williams. Your line is now open.
Chris Ellinghaus: Hi everybody. How are you?
Bethany Owen: Hi Chris.
Steve Morris: Hi Chris.
Chris Ellinghaus: Bob, can you describe for us what changes you see in the growth profile? And I understand that COVID is some near-term impacts. But does that really affect the longer term growth profile?
Bob Adams: Yes. Thanks Chris. It's several things which I will summarize here. First and foremost, recognize that as we calculate the five-year growth rates, as we are again using 2019 as a base. And so clearly 2020, 2021, in terms of COVID, does have any dampening impact on our revenues and does impact our growth. Now that's a short term thing, but transparency as we talk about our growth and we look at it over the five years, that is having an impact. On the regulated side of our business, if you go back to what we would have had in our IR deck in terms CapEx, we had about $2.4 billion worth of CapEx. That's now at about $2.1 billion in CapEx, $2.1 billion to $2.2 billion. And so what we have done there, as we moved the DC line expansion out a couple of years and then we were contemplating the possibility of taking that from 550 megawatts to 900 megawatts. We backed that off a bit to 750 megawatts. As we know it today, there is still the potential for that higher level of capacity addition. But we want to see how the MISO and evaluation of the transmission systems evolve here before committing and keeping that 900 megawatts in the plan. So we have that going on. When we do these PTC projects overall, the larger ones in particular, there is a certain amount of equity that we issue, common equity to do those projects. And with the stock price, our current stock price, in mind, those projects are slightly less accretive over the five year period of time and that is having a drag effect as well in terms of growth on the non-reg side. Now, we are very pleased with the fact that we are still looking at about 30% growth. And to be clear, we haven't given up on the wind segment either. We will be doing wind farms, just that as we look at what we had guided toward before, two to three projects a year, we think that might be a little heavy as we reallocate our capital into other higher returning segments in the wind space.
Chris Ellinghaus: So as part of that, Bob, the equity price is obviously much lower than it had been. Is your analysis that comes up with that lower growth rate, just assuming sort of status quo on the stock price and might that mean later if there is a significant market recovery, that your growth calculation will be adjusted again?
Bob Adams: Yes. That's a good point. As you know, we are a conservative team here. And so as we look at COVID in the short run here, if COVID continues to remain a hangover, either on our customers, that will have an impact on our price. So we are relatively conservative there. I would say, as we go into 2021, in the first and second quarter and as we look in our guidance, we are going to be re-looking at these growth rates again and clearly to the extent that COVID wanes or at least with the announcement here by Pfizer this morning, with regard to a vaccine, I think that's going to have a market impact on industrial production and the country, the economy and by extension us as well. So we are optimistic but wanted to be forthcoming about the current challenges in our stock price.
Chris Ellinghaus: Okay. Bob, the election provides some hope that there could be some stimulative infrastructure legislation. Have you got any thoughts on how that might influence ACE Wind and the perspective returns if there is a big surge in renewables demand at that point?
Bob Adams: Yes. Well, we definitely believe that renewables as a segment is going to continue to be very attractive and continue to gain steam. So when you step back from, as I said about wind a lot of what we are doing is just another traditional or classic capital allocation within the ACE business model to say, look, we like wind. As you know, we are 100% wind focused right now. But we see with infrastructure demand for renewables that there's other ways to play in renewables at a higher return. So we are going to allocate some of the capital from the wind area into other higher growth segments as we go forward.
Chris Ellinghaus: Okay. One last thing. Obviously, we have got some good news on vaccine. We have got a new President. Have you got any thoughts on -- we have been hitting new records on the infections. Have you got any thoughts about you know what he might do, come January, if we still have these rather horrible numbers and how that might influence the December and April nominations with the vaccine news aside?
Bethany Owen: Hi Chris. This is Bethany. Thanks for your questions. We are heartened by news even this morning that the incoming President-elect is assembling a coalition of scientists to work on kind of how we turn this second wave around. That paired with, as you mentioned the positive news on coming out regarding a vaccine, we believe there is hope and really strong progress. So we are excited about the kind of collaborative nature with the Senate in connection with the stimulus package and all of that, that the incoming administration is demonstrating. I am going to turn it to Frank to talk a little bit about kind of what we might see from a Biden administration in terms of prospects for our Minnesota Power's large industrial customers.
Frank Frederickson: Thank you Bethany. Good morning Chris. So as we look ahead, I think one of the key positive signals Bethany and Bob shared with you this morning is U.S. Steel's decision to restart the Keetac facility in mid-December. And that's one of those positive signals we are seeing in the steel industry as we are seeing overall recovery and operating rates up north of 70% in that sector of our economy. As we look at the election and the impacts going forward, I think there is lot to eyes on what will come out on infrastructure package to help further bolster overall steel demand across America. Steel demand has picked up even amidst the pandemic, just as consumer behavior shifted and we have seen a lot of automotive purchases resulting in a strong automotive sector. And the other signal that's out there just this morning was the vaccine. There is some upward signals of pricing in the oil and gas sector. And the overall steel demand in the energy sector has been fairly low as we have been in this pandemic. So I think those are some of those signals we are seeing. Obviously, we will be waiting on guidance for next year when we get our December nominations from our customers and continue to update from there.
Chris Ellinghaus: Okay. Thank you very much for the details. I appreciate it.
Bethany Owen: Thanks Chris.
Operator: [Operator Instructions]. Our next question comes from Brian Russo with Sidoti. Your line is now open.
Brian Russo: Hi. Good morning.
Bethany Owen: Good morning Brain.
Steve Morris: Hi Brian.
Brian Russo: Hi. I think you have previously targeted 1,500 megawatts of owned and operated generation at ACE, I think, by 2022. Is that still the target? Or has it shifted with the diversification type strategy into other types of renewables?
Bob Adams: Yes. Brian, this is Bob. I think that's probably still fair with Caddo being completed, we are going to be at 1,300. So we are going to be -- 1,500 is going to be right in our windshield, if you will. But I appreciate the question again. I just wanted to reemphasize, we are saying we are exiting wind entirely. We are very strict, as you know, as it relates to our underwriting criteria. And with margins and returns declining, we are just going to continue to be selective in that regard. But yes. So I think that's still a fair way to look at it.
Brian Russo: Okay. Great. And then to clarify this $30 million net revenues associated with Keetac and Verso that you filed for deferral. What time period is that for? You said annualized. But is it a look back or forward-looking? Just trying to get a better feel for where that $30 million is derived from?
Steve Morris: Yes. Brian, this is Steve Morris. So $30 million is just the annual number based on their normal full load which is obviously margins, if you will, net of fuel. But so it's just their typical annual revenue that we would expect to get from them.
Brian Russo: And is that 50/50 Verso and Keetac? Or is Keetac more heavily weighted there?
Steve Morris: Yes. I would call it pretty much even there both, give or take, 50 to 70 megawatts or so.
Brian Russo: Okay. Great. Thank you very much.
Steve Morris: Yes.
Bethany Owen: Thanks Brian.
Operator: Thank you. And our next question comes from Kevin Fallon with Citadel. Your line is now open.
Kevin Fallon: Good morning. Could you just clarify what is the base in 2019 that you are expecting to grow off of now?
Steve Morris: Yes. $3.35, Kevin.
Kevin Fallon: So the $3.35, you should be able to grow at roughly 4% for the next couple years and then beyond that you are hoping to get back up to the 5% to 7%. Is that the right way to interpret what you guys are saying?
Steve Morris: Yes. So the 4% is a CAGR, right. So it's to 2024. So you will see swings up and down in between that period time. So it's a five-year period from 2019 to 2024. And as I think Bethany mentioned, our objective is still 5% to 7% growth rate long term.
Kevin Fallon: Okay. But within this, through 2024, the 4% is an average number. So there could be above and below. Is that the point you are making?
Steve Morris: Yes. It's a CAGR. It isn't a year-to-year. It's a five-year CAGR, right, from 2019 to 2024.
Kevin Fallon: I got it. And with the outlook for 2021, is that because of the rate care here, I assume if you get your deferral, that $30 million obviously is a big help or what have you, but is it might be absence of getting the deferral the type of thing that pushes you below 4%? And the success in getting it is what pushes you above 4%?
Steve Morris: Yes. We haven't disclosed our 2020 earnings yet. So we are still obviously working on that. December 1 demand nominations will be key to that. So I wouldn't say 4% either way. And you will hear more about that in February. But you did hear us talk about a November 2021 rate case filing. That's with the 2022 test year. Interim rates beginning in January 1, 2022. So if we file in November, of course, relief from our rate case in 2021. You can look at deferred accounting filing as essentially a little over rate case that we could file in March.
Kevin Fallon: Okay. That's helpful. And just, I don't know if you have given more granularity, but what is the amount of equity that you guys are issuing annually that's causing a little bit of a drag? I don't know if you been this granular on an annual basis.
Bob Adams: Kevin, this Bob. So we have our DRIP program and we have been issuing pretty consistently about $20 million per year. So that's still the run rate of equity issuance.
Kevin Fallon: Got it. And in terms of the potential for asset sales. Is there any other potential sources of financing beyond just issuing the equity? You have the coal business or whatnot, I don't know if there something along the lines of there that may offer some opportunities?
Bob Adams: Well, I would say, we look at everything. Nothing specific on company level. But we are continuing to look at, as I said before, optimizing the portfolio at ALLETE Clean Energy. Some of the assets they have there, of course, might represent an opportunity. So we are not actually, outside of the DRIP program, the equity issuances that we see going forward are relatively modest. We do have some equity issuances that you will see in our financing deck. It's about $50 million or so associated with Caddo in the 2021 time frame. But that's relatively modest, if you think about our total market cap. And to your point, to the extent that there are other ways that we can look at other assets that are either underperforming or what have you, we would certainly look there first.
Kevin Fallon: And the Caddo related equity in 2021, is that expected to be internal programs or like ATMs? Or should we expect block trade?
Bob Adams: Yes. That's an ATM. That's an internal at-the-market program.
Kevin Fallon: Got it. And just the last thing for me. The way things stand with update on Keetac, assuming the other taconite customers keep their nominations, coming into 2021, you would be fully nominated, correct, with the incremental news on Keetac?
Frank Frederickson: Hi Kevin, Frank Frederickson here. Yes, in our mining sector, we will be fully nominated. As Bethany mentioned earlier, we are still not certain where the Verso paper facility is going to be.
Kevin Fallon: That's fair. That part was clear. Listen, thank you very much. I appreciate it.
Frank Frederickson: Thank you.
Bethany Owen: Thanks Kevin.
Operator: Thank you. And I am showing no further questions in the queue at this time. I would like to turn the call back to Bethany Owen for any closing remarks.
Bethany Owen: Steve, Bob, Frank and I thank you for being with us this morning and for your investment and interest in ALLETE. We look forward to our EEI meeting with many of you this afternoon and tomorrow. Take care and we wish you all the best.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude your program and you may now disconnect.